Operator: Good day, ladies and gentlemen and welcome to the Third Quarter 2010 Hess Corporation Earnings Conference Call. My name is Melelia and I will be your coordinator for today. At this time all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of the conference. (Operator Instructions). As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call; Mr. Jay Wilson, Vice President, Investor Relations. Please proceed.
Jay Wilson: Good morning everyone and thank you for participating in our third quarter earnings conference call. Earnings release was issued this morning and appears on our website, www.hess.com. Today's conference call contains projections and other forward-looking statements within the meaning of the Federal Securities Laws. These statements are subject to known and unknown risks and uncertainties that may cause actual results to differ from those expressed or implied in such statements. With me today are John Hess, Chairman of the Board and Chief Executive Officer; Greg Hill, President, Worldwide Exploration and Production and John Rielly, Senior Vice President and Chief Financial Officer. I'll now turn the call over to John Hess.
John Hess: Thank you, Jay and welcome to our third quarter conference call. I will make a few brief comments after which John Rielly will review our financial results. Net income for the third quarter of 2010 was $1.154 billion, versus $341 million a year ago. Our third quarter operating results were positively impacted by higher crude oil and natural gas selling prices and sales volumes compared to the year ago quarter. This quarter's results also included an after-tax gain of $1.072 billion associated with our strategic asset trade with Shell, which closed in September as well as an after-tax charge of $347 million to write-off the West Med Block 1 concession off shore Egypt. Excluding these non-recurring items, exploration and production earned $552 million. Crude oil and natural gas production averaged 413,000 barrels of oil equivalent per day, which was 2% below the year-ago period. Lower year-over-year production resulted primarily from natural field decline to the Ceiba Field in Equatorial Guinea and planned downtime at the Valhall field in Norway, which was partially offset by higher production from our Bakken program in North Dakota. Current net production from the Bakken is approximately 18,000 barrels of oil equivalent per day, with nine rigs working. We plan to add one additional rig in November and expect to exit this year with net production of about 20,000 barrels of oil equipment per day. Our acquisition of American Oil & Gas is progressing through the regulatory process and is expected to close by the end of the year. In September we closed on both the strategic asset trade with Shell and the acquisition of Total's interest in the Valhall and the Hod fields in Norway, which together raised our interest in these fields to 64.5% and 62.5% respectively. Also, in September we announced the acquisition of an additional 20% interest in the Tubular Bells oil and gas field in the Gulf of Mexico from BP for $40 million. Following regulatory approval Hess will have a 40% working interest and become the operator. In the United Kingdom, the sale of non-quartered, nor seen natural gas assets is now expected to close in the fourth quarter, these assets have net production of 16,000 barrels of oil equivalent per day and year end 2009 proved reserves of 29 million barrels of oil barrel equivalent. With regard to explorations we drilled two wells on our 100% owned permit WA390P in the Northwest Shelf of Australia, resulting in two discoveries. We have now completed our 16 commitment wells on the block with 13 discoveries. We have initiated an appraisal program that will continue through the middle of next year and include additional drilling and flow testing of several wells. Commercial discussions with potential partners regarding WA309P are ongoing. In December we expect to spud exploration wells on our 40% owned BMS-22 block in Brazil, our 100% owned Tano/Cape Three Points Block in Ghana and our 80% owned North Red Sea Block One concession in Egypt. In the first quarter of 2011 we plan to drill our 100% owned semi five block in Indonesia. In terms of unconventional resources, we plan to start drilling in the EagleFord in Texas in November and in the Paris base and in France in the first quarter of 2011. Turning to marketing and refining, we reported a loss for the third quarter of $38 million. Refining margins weakened from last years third quarter, primarily due to lower gasoline and residual fuel oil crack spreads and higher fuel costs at our HOVENSA's joint venture refinery and lower gasoline crack spreads at our Port Reading, New Jersey facility. Marketing results were better than the year ago quarter, principally due improved margins in our energy marketing business. Retail gasoline volumes on a per site basis were up 1% while convenient store sales rose nearly 3%. In energy marketing natural gas sales were higher year-over-year while fuel, oil and electricity sales were lower. In conclusion we are pleased with the recent transactions that we believe strengthen our global portfolio and will contribute to our Company's future reserve and production growth. I will now turn the call over to John Rielly.
John Rielly: Thanks John. Hello everyone. In my remarks today I will compare third quarter 2010 results to the second quarter. The corporation generated consolidated net income of $1.154 billion in the third quarter of 2010, including after tax income of $725 million from items affecting comparability of earnings between periods, compared with $375 million in the second quarter. Turing to exploration and production, exploration and production operations had income of $1.277 billion in the third quarter of 2010, compared with $488 million in the second quarter. The third quarter results included an after tax gain of $1.072 billion relating to the exchange in the corporations interest in Gabon and the Clare Field in the United Kingdom for additional interest in the Valhall and Hod Fields in Norway. The results also included an after tax charge totaling $347 million to write off our investments in the West Med Block located off shore Egypt. The impairment resulted from third quarter decision by Hess and the other concession partners to cease future exploration activities and to relinquish a significant portion of the block. Excluding the effect of these matters, the changes in the after tax components of the results are as follows. Higher sales volumes increased earnings by $127 million. Increased production expenses reduced earnings by $25 million. Increased exploration expenses reduced earnings by $16 million. Increased depreciation reduced earnings by $13 million. Lower selling prices decreased earnings by $6 million. All other items led to a decrease in earnings of $3 million for an overall increase in third quarter adjusted earnings of $64 million. The previously mentioned exchange of the corporation's interest in Gabon and the Clair field increased our interest in the Valhall field by 28.1% and the Hod field by 25%. This exchange was accounted for its fair value and resulted in a gain in the quarter. In September 2010, the corporation also completed the acquisition of a 7.85% interest in Valhall and a 12.5% interest in Hod for cash of $507 million. After completion of these acquisitions, the corporation has total interest of 64.05% in the Valhall field and 62.5% in the Hod field. In the third quarter of 2010, our E&P operations were overliftsed compared with production, resulting in increased after-tax income in the quarter of approximately $60 million. The E&P effective income tax-rate was 44% in the quarter and year-to-date in 2010. Turning to Marketing and Refining, Marketing and Refining operations generated losses of $38 million in the third quarter of 2010, compared with $19 million in the second quarter. Refining operations had losses of $50 million in the third quarter and $31 million in the previous quarter. The corporation's share of HOVENSA's results after income taxes was a loss of $52 million in the third quarter, compared with $4 million in the second quarter, reflecting lower refining margins in the third quarter. Port Reading reported income of $2 million in the third quarter, compared to a loss of $27 million in the second quarter. During the second quarter, this refining facility was shut down for 41 days for a planned turnaround. The turnaround expenses recorded in the second quarter totaled approximately $27 million after income taxes. Marketing earnings were $40 million in the third quarter of 2010, compared with $17 million in the prior quarter, principally reflecting higher electricity margins and sales volumes. Trading activities generated a loss of $28 million in the third quarter compared with $5 million in the second quarter. Turning to corporate, net corporate expenses were $26 million in the third quarter of 2010 compared with $42 million in the second quarter. Net corporate expenses were lower in the third quarter, primarily reflecting lower bank facility fees and other general and administrative expenses. After-tax interest expense was $59 million in the third quarter, compared with $52 million in the second quarter. In August 2010, the corporation issued $1.25 billion of 30-year unsecured notes with a coupon of 5.6%. Turning to cash flow, net cash provided by operating activities in the third quarter, including an increase of $136 million from changes in working capital was $1.246 billion. Net proceeds from the bond offering were $1.241 billion. Capital expenditures were $1.462 billion. All other items amounted to a decrease in cash of $35 million, resulting in a net increase in cash and cash equivalents in the third quarter of $990 million. We had $2.353 billion of cash and cash equivalent at September 30th 2010 and $1.362 billion at December 31st 2009. Our available revolving credit capacity was $3 billion at September 30th 2010. Total debt was $5.584 billion at September 30th 2010 and $4.467 billion at December 31st 2009. The corporation's debt to capitalization ratio at September 30th 2010 was 26.1%, compared with 24.8% at the end of 2009. This concludes my remarks. We will be happy to answer any questions. I will now turn the call over to the operator.
Operator: Thank you, Ladies and gentlemen (Operators Instructions), your first question comes from the line of Ed Westlake from Credit Suisse.
Ed Westlake - Credit Suisse: Hey good afternoon now. Good morning. Great results. I guess the overlifts will be a big contributor to them. I actually have two questions. One is one the EagleFord. Effectively, can you talk through your strategy there and I think on Q2 you spoke of further acquisitions in other non conventional. So perhaps a broader comment on the non conventional strategy. And then the second one is around refining. You're still obviously loosing net income. Perhaps some decisions around profit improvement or any plans on disposal. Thanks.
Greg Hill: Yeah thanks Ed, this is Greg Hill. Let me talk about the EagleFord and then I'll talk a little bit broader about unconventional strategy. So yes we are building and have been building a position in the EagleFord. We have about 75,000 net acres as we speak under a contract and our plans are to begin drilling in November in the EagleFord and if we can get additional acreage we'll expand that position further. Regarding kind of broader un-conventional, as we've said before, we're really focused domestically in the U.S. in our Bakken position and the EagleFord and we have our position in the Marcellus. We continue to look for other opportunities. But we're also focused internationally and of course we have our Paris face in position of about a million acres or so with our partner Toreador and we have a – we're signed a memorandum of understanding an agreement with PetroChina to look at unconventional possibilities in that Daqing field in China.
Ed Westlake - Credit Suisse: Thank you.
Greg Hill: Terms of refining, specifically HOVENSA, we're disappointed with the operating performance of the facility as well as the financial performance and we are working with our partners to find ways to improve both.
Ed Westlake - Credit Suisse: Is there anything, any specific plans or an announcement that you can make in there or is this just ongoing?
Greg Hill: It's ongoing.
Ed Westlake - Credit Suisse: Okay, thank you.
Operator: Your next question comes from the line of Paul Shankey from Deutsche Bank.
Paul Shankey - Deutsche Bank: Good morning gentlemen, I guess if we could talk a bit more about the Bakken please, could you just update us at a high level firstly, I guess there an implicate increase to your production target there, that once you've completed American oil and gas certainly and I wanted to clear if there maybe will show up with pressure from the kind of performance your getting out of our activities there. If you could kind of address the high level question also talk more about all the technical things that you're doing and the progress that your making out of the time, thank you.
Greg Hill: Yeah, thanks Paul. This is Greg. Well, first of all, I mean, we were on track in the Bakken. We continue to make significant progress. We are on track to exit the year at a net record rate of about 20,000 barrels a day. As we said, we are marching our way towards 80,000 barrels a day in our existing position in the Bakken. Regarding the American Oil & Gas position, of course we have not yet acquired that. We are optimistic that that will close. But it's early days. We would like to get few wells in the ground before we issue any additional production guidance associated with that. But obviously we are excited about the acreage. Otherwise, we would have never acquired it. Just briefly on, you know, well cost are coming in at about $11 million each for a dual lateral EURs, of about a million barrels per dual and our 30-day average IP rate's are around the order of 400 to 500 barrels per day per lateral from 18 stage fracs. Well, that gives you kind of an overall update of the Bakken.
Paul Shankey - Deutsche Bank: Great, thanks. And one more from me. The Western Meds write-downs, I know you were bit surprised by that, could you just explain what that was about?
Greg Hill: Sure. While we did have several natural gas discoveries on the block, based on the technical working and working with our partners, the quantities of gas found are not sufficient to pursue a commercial development at this time. So, during the quarter, actually, late in the quarter, the partners decided to cease future exploration activities on the block again, just from the risks of some of the plays and the ability to make it commercial. And Hess has actually have now decided to relinquish a significant portion of the block. So, as a result of that decision by the partnership group, just following the GAAP Accounting Standards, we have to take an impairment in this quarter.
Paul Shankey - Deutsche Bank: Right. And in case, are there any other Egyptian updates to give us?
Greg Hill: The only thing from -- in North Red Sea, John Hess has mentioned that we will be drilling an exploration well there in the North Red Sea. And so that is coming up right now in the fourth quarter. Outside of that, nothing else.
Paul Shankey - Deutsche Bank: Finally, can you give us a sense of the prospect there? Alright.
Greg Hill: Yes. So, in the Northern Red Sea, this is Block 1 where we have an 80% working interest with the operator. It is a Cretaceous sandstone play to the tune of about 710 meters of water. It's going to take about 90 days to drill and it's an oil prospect and we're looking for oil.
Paul Shankey - Deutsche Bank: Thank you.
Operator: Your next question comes from the line of Doug Leggate from Bank of America/Merrill Lynch.
Doug Leggate - Bank of America/Merrill Lynch: Thank you. Good morning, gentlemen.
Greg Hill: Good morning.
Doug Leggate - Bank of America/Merrill Lynch: Couple of things from me. Just going to the exploration program, 100% in Ghana, 100% in Semai, 80% in Egypt, and a whole bunch of gas in Australia that doesn't have a home yet. Can you just talk about strategically how you might think about perhaps cross border asset swaps? And perhaps in light of your recent commentary that you may not drill some of these wells with such high interest in the future. That was my first and I have a follow up, please.
Greg Hill: Yeah, thanks Doug. I think, you know, our strategy is to acquire opportunities of high working interest. And as we de-risk the wells, then we make a separate decision of whether or not we are going to farm down or not. I think. In Ghana, in Semai, we are in active discussion with a number of potential partners for farming offers and I think, you know, assuming we get an acceptable view; we will probably farm down both of those wells to drill. You mentioned Australia as well. I mean, obviously, we are not going to build L&G plants in Australia. So we will likely take a partner on our 100% position in Australia as well linked to the liquefaction round.
Doug Leggate - Bank of America/Merrill Lynch: Greg, should we expect the farm-down of Ghana given that it's going to slide through pretty quickly, might be related to in someway to accelerating your place in the queue for LNG in Australia. Are the two linked or that completely separate in terms of your partner negotiations.
Greg Hill: No I wouldn't say they are necessarily linked Doug. I mean some of the partners we are talking to had positions in Australia and so we are talking to about number potential cross border deals or just straight promote.
Doug Leggate - BAS-ML: Would the same apply to Egypt? Would you expect to farm that down as well or will you drill 80%?
Greg Hill: We have already farmed 20% down to premier and so I think we will continue to look for partners here as well.
Doug Leggate - BAS-ML: Okay, two other quick ones from me, if I may. Just jumping back to the EagleFord, can you tell us where exactly your acreage is in terms of counties, oil/gas window, that kind of stuff? Basically what is your plan for the rig count there? You gave us a pretty clear signal as what you were going to do in the Bakken. But on the on the EagleFord, what is your drilling plan and potential ramp up that we should expect over the next year?
Greg Hill: It's early days in the EagleFord I guess what I will say is we are firmly in a condensate window and our plan is to drill six wells starting in November just to being accessing the acreage after that then we will make a decision on how to expand the ramp up after we get those initial six wells drilled.
Doug Leggate - BAS-ML: Great, and the last one from me, this one is maybe for Mr. Hess. The Bakken and the Valhall deals appear to give you a pretty good anchor on your 3% growth targets but that doesn't include obviously incremental interest in Tubular Bells, the potential pony development. Can you speak to how you are thinking about your production guidance or longer-term targets now that those deals are being done?
John Hess: Good question Doug and basically it's bizarre, investment program in the Bakken and now having captured larger interest in Valhall that also has incremental production over the next five years. We feel pretty good that both of those assets were underpinned a minimum of 3% production growth in oil equipment over the next five years. So, that's the way you think about our production guidance but that really is a minimum and then as you rightfully point out as the Gulf of Mexico regulatory environment gets clarified hopefully we will be able to sanction both the pony and Tubular Bells developments that would be incremental to our picture. As well as hopefully some success either in other unconventional that Greg is talking about or some of the exploratory prospects that we have longer term. So we feel we have acquired a lot of attractive growth options. Some of them will not be successful but hopefully some will. And that would be incremental to the minimum 3% production growth guidance.
Doug Leggate - BAS-ML: Thanks. Would that also apply to the American Oil & Gas? Is that also added to it?
John Hess: I think the best way to look at American Oil & Gas, that's incremental but on the margin. So, it's definitely supportive of that minimum 3% growth guidance.
Doug Leggate - BAS-ML: I will leave it there. Thank you very much.
Operator: Your next question comes from the line of Mark Gilman from Benchmark & Co.
Mark Gilman - Benchmark & Co.: Guys, good morning. Hey, Greg, with respect to the parameters on the Bakken which you outlined before, give me an idea if you would whether that represents an average-to-date and what it looks like from a trend or most current standpoint?
Greg Hill: Yeah, I think on those well results that I quoted, you know, that's an average-to-date based on the results that we've seen. And I think the only change that we're seeing in the short-term is we're going to 22 stage fracs. That's our current design. The averages I quoted to you were based on 18 stage fracs. So there will be a little uplift in those as we go 22 stage.
Mark Gilman - Benchmark & Co.: Greg, while I have you, perhaps you could help me to understand the Tubular Bells transaction. I guess I don't quite understand the nominal consideration. I don't quite understand BP divesting a small portion of it but retaining an interest. A little bit hard for me to relate to exactly what's going on there and what your expectations are. Some comment would be appreciated.
Greg Hill: I think, you know, in terms of Tubular Bells, obviously, BP is restructuring a business globally, post-Macondo. And so, this presented us with an opportunity to increase our interest and become operator of the asset. So, we like Tubular Bells or our partner like Tubular Bells, obviously, BP likes Tubular Bells because they wanted to retain an interest in it. You know, I wouldn't say anything more than that. It's just them restructuring their portfolio.
Mark Gilman - Benchmark & Co.: The development history there, Greg, has been -- or the appraisal history I guess I should say has been a bit mixed. Has there been a downgrade in your mind in terms of the resource potential?
Greg Hill: I think what we've said about Tubular Bells before is we see it in the excess of 100 million barrels and we'll provide some additional information post sanction on the volume size.
Mark Gilman - Benchmark & Co.: That's a gross number, I assume?
Greg Hill: Yeah, gross.
Mark Gilman - Benchmark & Co.: Okay. Just one more from me. Regarding European gas, give me an idea if you could in rough terms how much you sell spot versus how much is under contract? And also any portion that may be specifically linked in one way shape or form to crude oil and/or petroleum product prices?
John Rielly: Yes. So, basically, you've got to a mix when you're looking at Europe, between UK, Norway and Denmark. Pretty much, the majority of our production is coming out of the UK and that is being sold at spot prices. In Norway and Denmark, there you have contractual terms to it. It does have some linkage then to the oil markets.
Mark Gilman - Benchmark & Co.: Thanks, John.
John Rielly: Thank you.
Operator: Your next question comes from the line of Evan Calio from Morgan Stanley.
Evan Calio - Morgan Stanley: Hey, good morning, guys. Good quarter. Exciting exploration calendar into 2011. I guess I have two follow-up questions, one for Greg on the Red Sea. Any pre-drill range there or a description more of what the play type is? If you guys are doing a two-well program, are those back to back wells that you are thinking right now?
Greg Hill: Yeah, again, Evan, the Northern Red Sea block, it's a cretaceous sandstone play, that's the first well. We believe it's an oil, it will be an oil prospect and the prospect size is on the order of 100 to 200 million barrels. The second oil a bit dependent on the first well, we do plan drill the second well but the location to that well will depends on what happens with the first well.
Evan Calio - Morgan Stanley: Okay, so which same play type then?
Greg Hill: Again, it depends on the results of the first well.
Evan Calio - Morgan Stanley: Understood, okay. And then a follow-up if I could also on the part of question on the farm-down, it's just a general understand. I fully appreciate your accessing all the opportunities for this, is it goal, it sounds as goal and a potential swap to remain exploration neutral if you would meaning to swap interest in other projects or is that – can we think about that way?
Greg Hill: I think you shouldn't assume that is a general rule. It depends on the well; it depends on the packing column and promotional risk profile of the well. Sometimes we'll pay cash in the form of a promote and or international swap and so it depends well by well.
Evan Calio - Morgan Stanley: Okay, it's good. That's the information. Thanks guys.
Operator: Your next question comes from the line of Arjun Murti of Goldman Sachs.
Arjun Murti - Goldman Sachs: Thank you. Just a couple of follow-ups. On the Australia commercial timing, can we think about that as first half of ‘11 or is there did you want to do some of the appraisal work first?
John Hess: Yeah, thanks Arjun. I think what we want to do is we want to do the appraisal work. You need to get some critical well data during the appraisal say the key for long-term development planning and pipeline design and those kinds of things. As we said before in parallel we're actually with the commercial side, the liquefaction route, so hopefully by the middle of 2011, we'll be in a position to pick a route. We have significant part of our appraisal program done and then can make and form decision around sanction.
Arjun Murti - Goldman Sachs: And the options, there are still Floating LNG which show, which I put out to and which show another three possibilities for you?
John Hess: Yeah, with the other possibility at Northwest Shelf.
Arjun Murti - Goldman Sachs: Okay, Northwest Shelf, this one is great.
John Hess: But it always – it comes available sometime in the future.
Arjun Murti - Goldman Sachs: Thank you. You mentioned in the prepared remarks that might have been – John has the China, PetroChina memorandum of understanding, can you just elaborate what that opportunity is that dodging in terms of pursuing presumably shale oil opportunities there? 
John Hess: Yeah, we signed a joint study agreement with PetroChina and basically it's a tight oil zone in the Daqing field. That potentially by applying Bakken-like technology you can unlock. So that's currently what we're looking at.
Arjun Murti - Goldman Sachs: That's great and presumably the memorandum of understanding for specifically that zone is supposed to an overall interest in the field or anything greater than that. 
John Hess: Yes, it is. It's just specific to the tighter oil zone in the Daqing field.
Arjun Murti - Goldman Sachs: That's great. And just the final question in terms of what you think is realistic timing to getting back to exploration in the Gulf of Mexico given the listing of the moratorium but obviously there are permitting questions and so forth?
John Hess: Good question, Arjun.
Arjun Murti - Goldman Sachs: Thank you, everyone in the industry is asking that. As you know there's still a lot of uncertainty both regulatory and legislatively like what's coming at us so even though there's more moratorium has been listed, we're still kind of mid cycle I guess in terms of regulatory and legislative understanding of what's going to happen. I think for planning purposes we're hoping to go back to work in the Gulf of Mexico in the middle of 2011 sometime but that's just a planning assumption at this point.
Arjun Murti - Goldman Sachs: That's great. Thank you so much. I appreciate it.
Operator: Your next question comes from the line of Paul Cheng from Barclays Capital.
Paul Cheng - Barclays Capital: Hey guys.
Greg Hill: Hi
Paul Cheng - Barclays Capital: Good morning. A number of quick questions hopefully. Greg based on what you said, presumably that the Pony appraisal well is not going to be drilled in December. And in terms of the process of the unitization with Knotty Head, do you guys have to wait until you finish the last appraisal well and they finish there? Or that you can still go ahead and try to unitize and maybe have a cost that after the last appraisal well make an adjustment. How does that process work?
John Hess: Yeah, let me give you a quick update, Paul, on just where we are. So, we continue to make significant progress towards sanction of Pony, so we just signed a letter of agreement, a confidentiality agreement and a data trade agreement with the Knotty Head partners. So, the next step now is negotiate the JOA, which should be completed early next year. Obviously, the timing of the sanction is uncertain due to the permitting delays, but specifically due the Pony 3 well. We intend to get back to Pony 3 as soon as we can obtain the permit from the BOEM and we are in the process of filing all that paper work as we speak. And so, really, just for a planning assumption we're assuming that we can get back to Pony 3 sometime in the second half of 2011. Now that doesn't mean we're still not pursuing doing all the design work, the feed work, progressing the JOA, you know, with partners, all those things to move Pony forward.
Paul Cheng - Barclays Capital: Right. So in other words, we should not assume that just because you couldn't drill on that last appraisal well that you are in a holding pattern. You are still moving forward and there is a possibility that you may be able to finalize and done much of that even before the last appraisal well.
John Hess: Absolutely, we're moving forward, so all of that stuff happens in parallel.
Paul Cheng - Barclays Capital: Okay, and in the -- normally you guys don't give any guidance on the next year production and CapEx until after you report the fourth quarter. Is there any kind of rough direction that you can give us in terms of up, down, flat?
John Rielly: No, Paul. I think you said it. I mean, we're still in the process of going through all that now and looking at the program for next year and so we will update the guidance in our January call.
Paul Cheng - Barclays Capital: Okay and for 2010 production given the strong results in the third quarter, should we assume there's going to be closer to the high-end of the range instead of the middle of the range?
John Rielly: Yes. Given the results to-date and actually somewhat later than expected timing of the closing of our UK North Sea natural gas asset sale, we will be at the upper end of our range.
Paul Cheng - Barclays Capital: Okay. After you complete the acquisition of the American Oil & Gas, in theory, you had 13 rigs. Are you guys going to stick to the 13 rigs or are you scaling back down to the 10 rigs and just stick with that $1 billion a year kind of capital spending program?
Greg Hill: Paul, the American Oil & Gas will be incremental. We've planned to develop that with the 3 rig program. So, we will be up to the 13 rig program. So, we won't dial back in.
Paul Cheng - Barclays Capital: The quality -- I know that it's a little bit premature. Can we somewhat using a prorated -- I am seeing that if you are looking for adding about 15,000 barrels per day using a 10 rig program a year when you use that 13 rig rates that that would be closer to 20,000 barrels per day increase? In other words that the quality of the American Oil & Gas, should we assume that it would be somewhat similar to the area that you are working on today? 
Greg Hill: Yeah, so I think Paul I think it's real all related, figure out what American Oil & Gas is going to provide or whether it's you can scale it or whatever. So let's get if you will down and we will provide that formal update on that what's going to deliver for us.
Paul Cheng - Barclays Capital: Okay, a final question on Bakken. With the Alberta Creeper and the Keystone is up and running, it seems like we have more pipeline capacity than the Canadian heavy oil that is currently available. Is there any opportunity for you guys to ship or to utilize those pipes for Bakken so that narrow the Bakken discount?
John Hess: Paul, a couple of dimensions there. First, we have tradition of marketing agreements. Number one, with pipelines in the area; number two, we're putting in a way of facility which will give us a lot of flex; number three, we're working with Enbridge on this new pipeline expansion that they have. So those are the sort of the three options that we're doing that should be able to accommodate the production growth that we envision over the next five or six years.
Paul Cheng - Barclays Capital: Thank you.
Operator: Your next question comes from the line of Blake Fernandez from Howard Weil.
Blake Fernandez - Howard Weil: Good morning, guys. Thanks for taking my question. Had a question for you on the Paris Basin. Originally I guess I was thinking the testing would begin in the fourth quarter. It sounds like you mentioned the first quarter of '11 you would begin drilling. Any sense of when we might have a kind of final determination on whether that play is going to be economical or not?
Greg Hill: Yeah, thanks again. What we can say at this point is that sometime in 2011, because we will start drilling our first wells in early 2011 and we'll have, certainly have some indication of the commerciality of the play in 2011.
Blake Fernandez - Howard Weil: Okay, back to the Bakken. I know there's been some discussion whether the dual completions are the way to go or not. It sounds, Greg, to me like you are still comfortable with that and confident that that is the way that Hess is going to continue to pursue the play, right?
Greg Hill: Yes, we are.
Blake Fernandez - Howard Weil: Okay, then the final one from me is on the cost in EagleFord. I am just curious if you're providing any costs on what you are paying per acre out there?
John Rielly: No, we're not. Obviously, that's fairly competitively sensitive.
Blake Fernandez - Howard Weil: Sure. Okay, I'll figure out that, thanks.
Operator: (Operator Instructions). Your next question comes from the line of Pavel Molchanov from Raymond James.
Pavel Molchanov - Raymond James: Thanks for taking my question guys. First on Thanks for taking my question, guys. First on pre-drill reserve estimates, I appreciate you sharing that for the Red Sea. I wanted to see if I can get you to give those numbers also for the next BMS-22 prospect and/or for Ghana?
John Hess: No, we typically don't do that. So no, I'm not going to give you those estimates.
Pavel Molchanov - Raymond James: Okay, no problem. And then another follow-on on the Paris Basin. If you move to full-scale development down the road, are there any infrastructure kind of off take capacity issues that would potentially slow you down? I guess I am trying to get a sense of when production there could begin to move the needle for you guys.
John Hess: I think on the Paris Basin, it's still early days. We've got to drill our first well so you can see there's a commercial development there. There is existing capacity in the Basin. They have a refinery near by. And so obviously, before we enter the play, we look at those things and don't seems as a significant constraint at this point.
Pavel Molchanov - Raymond James: Very good, I appreciate it.
Operator: Your next question is a follow up question from the line of Mark Gilman from Benchmark.
Mark Gilman - Benchmark & Co.: John, I wonder, could you provide some volume number to that overlifts and give me a rough idea where?
John Rielly: Sure, Mark. It was a 2.1 million barrel overlifts in the quarter. It was primarily EG to about 1.1 million barrels. And then the UK and Gabon, both at around 500,000.
Mark Gilman - Benchmark & Co.: Okay. And just one other one for Greg. Greg, it was my recollection that upon the completion of the 16-well program on your 100% block on the northwestern shelf you would be in a position to give us some kind of resource indication. Can you help us out in that regard?
Greg Hill: Yeah, Mark. I think, I will rather wait until I get my appraisal program done to do that.
Mark Gilman - Benchmark & Co.: Okay. We will wait with interest. Thanks.
Operator: Your next question comes from the line of Kate Minyard from JPMorgan.
Kate Minyard - JPMorgan: Hi, good morning.
Operator: Yes, we can hear you.
Kate Minyard - JPMorgan: Great, thanks. Just a quick question on Brunei. Just given your interest in Block Ca1, I was wondering if you could give us any color on just timing? It looks like the operator is eager to start drilling in a short period of time. Was just wondering if you had any insight into whether that was early 2011 or is it a bit too early to tell? Thanks.
John Hess: Obviously, a little context about Brunei first. We are really excited about the prospectively of that block. And as we mentioned, the partnerships in the process of developing a work plan and we expect drilling on the block to begin and mid-2011.
Kate Minyard - JPMorgan: Okay, great. Thank you very much.
Operator: Your next question comes from the line of Ed Westlake from Credit Suisse.
Ed Westlake - Credit Suisse: Yes, just probably a very early number and you probably actually can't answer this, but if you were thinking about just the sort of resource potential of the Paris Basin or Daqing, what kind of order of magnitude if there's modest success or risked outcome do you think the reserves could be?
Greg Hill: Ed, it's too early. You know, we need to get a few wells in the ground and complete our joint study with PetroChina before we can give any kind of estimates for that.
Ed Westlake - Credit Suisse: And in the Paris Basin?
Greg Hill: Yeah, the same. I mean, we don't even have a well in the ground yet. So, let's wait till we get some wells in the ground.
Ed Westlake - Credit Suisse: Okay. Thank you.
Operator: Our final question comes from the line of Paul Cheng from Barclays Capital.
Paul Cheng - Barclays Capital: John, when you're talking about the overliftss, at the end of September, are we neutral or still underlift or overlift in the inventory?
John Rielly: Let's just first talk about for the year. We actually, still are in a underlift position of 1.2 million barrels in the year. So, we had some significant underlifts in the first and second quarter. But some of that again was just the catch up. So, I am again looking at the inventories, I think we are fairly balanced at this point right now.
Paul Cheng - Barclays Capital: So we should not assume that any meaningful (inaudible) in the fourth quarter unless the schedule change?
John Rielly: No. I would not assume any. Obviously, the scheduling, the timing at quarter end, things can change. But I would not assume anything in there.
Paul Cheng - Barclays Capital: Okay, Greg, maybe I missed it. You are saying that -- obviously you guys are not going to build the LNG plant yourself. Is that -- when you are looking at trying to monetize the discovery over there, is that the preferred way that whatever is the option you choose, you're going to be that have a proportion equity ownership in the LNG train? Or that you want to just to be a strict long-term supply contract with no equity in the LNG train?
Greg Hill: Yeah, I wouldn't make the assumption that we will necessarily have equity in the LNG plant. It could be a tariffing arrangement or whatever, so that is all part of the commercial mix.
Paul Cheng - Barclays Capital: But I mean from the Company's standpoint, is that one that's more preferable than the other?
Greg Hill: It really just stands upon the commercial deal that we strike, yeah.
Paul Cheng - Barclays Capital: Okay, and then a final one on the BMS-22 in Ghana. How important is the next exploration well to determine whether you are going to stick to the broad and continue to do additional drilling in the future or that to the demand that if that turns out to be dry, that means that you guys the interest in those probably would be substantially reduced. So I'm trying to understand that you already map our additional prospect that you could be interested with Ghana on the success or not on the next well.
Greg Hill: When you talk about Ghana, since you mentioned both, so in Ghana, it is a large block, we see multiple play types on the block, both structural and stratigraphic. Therefore, I think the outcome of one well will not be conclusive for the block or you can assume it will probably be drilled at least one more well on Ghana. Regarding Brazil, I think we just have to see the result of the well and then figure out where we go from there.
Paul Cheng - Barclays Capital: Okay, very good. Thank you.